Operator: Greetings and welcome to the Euronet Worldwide Second Quarter 2015 Earnings Conference Call. At this time all participants are listen-only mode. Later, we will conduct a question-and-answer session and instructions will be given at that time. [Operator Instructions] As a remainder, this conference is being recorded. It is now my pleasure to introduce your host, Mr. Jeff Newman, Executive Vice President and General Counselor for Euronet Worldwide. Mr. Newman, you may begin.
Jeff Newman: Thank you, Andrew. Good morning and welcome, everyone, to Euronet’s quarterly results conference call. We’ll present our results for the second quarter 2015 on this call. We have Mike Brown, our Chief Executive Officer; Rick Weller, our Chief Financial Officer; and Kevin Caponecchi, CEO of our epay division on the call. Before we begin, I need to make our forward-looking statements disclaimer. Statements made on this call that concern Euronet’s or its management’s intentions, expectations or predictions of future performance are forward-looking statements. Euronet’s actual results may vary materially from those anticipated in such forward-looking statements as a result of a number of factors, including technological developments affecting the market for the company’s products and services; technical issues associated with the operation of our complex processing systems, including security breaches, changes in ATM and other transaction fees, and changes in laws and regulations affecting the company’s business, including immigration laws and anti-money laundering regulations. These risks and other risks are described in the company’s filings with the Securities and Exchange Commission, including our annual report on Form 10-K, quarterly reports on Form 10-Q and current reports on Form 8-K. Copies of these filings may be obtained via the SEC’s Edgar website or by contacting the company or the SEC. Euronet does not intend to update these forward-looking statements and undertakes no duty to any person to provide any such update under any circumstances. The company regularly posts important information to the Investor Relations section of our website. Now, I’ll turn the call over to our CFO, Rick Weller.
Rick Weller: Thanks Jeff. Good morning and I too welcome everyone to the call. I will begin my comments on slide five. As you can see, we continued our momentum and delivered exceptional second quarter results with double-digit constant currency growth across all P&L metrics. We produced revenues of $425 million operating income of $47 million and adjusted EBITDA of $67 million. Our cash EPS was $0.78 per share, a 34% increase from the $0.58 a share in the second quarter 2014. This $0.78 includes $0.03 to $0.04 of favorability from the stronger than expected earnings in lower tax rate jurisdictions, resulting in lower tax expense and about three quarters of a penny of favorability from foreign currency rates, since we gave guidance in late April. And while the $0.78 is an impressive operational achievement, it also includes about $0.15 per share of headwind from foreign currencies versus the same quarter last year, which if added back to this year’s number, would have resulted in a 60% year-over-year constant currency increase in cash earnings per share. These exceptional results were made possible by contributions from all three segments. Next slide please. Slide six provides our three-year transaction trends by segment. EFT transactions grew 3% with growth in Europe, partially offset by declines in China. With our focus on expanding our ATM and POS networks to higher value locations versus higher volume locations, we will continue to see revenue and margin expansion outpace transaction growth rate. epay transactions increased 13% year-over-year driven by growth in India, Australia, Germany and the Middle East, which was partially offset by declines in Brazil, the UK and Poland. Transaction growth outpaced revenue growth, primarily as a result of increased transactions in India and the Middle East, which earn a much lower revenue per transaction than transactions in other markets. Money transfer transactions grew 43%. This growth was the net result of an increase in money transfers of 52% and an increase in other money transfer transactions such as bill payment and mobile top-up of 2%. The 52% increase in money transfers was driven by continued double-digit organic growth, continued expansion of Walmart-2-Walmart and the May 2014 acquisition of HiFX and represents the 17th consecutive quarter we have achieved double-digit money transfer growth. Next slide please. On slide seven, you will find our result on an as reported basis. While we didn’t see a significant sequential quarterly change in foreign currency exchange rate, the declines in currency rate we saw earlier in the year significantly impacted our second quarter results on a year-over-year basis. Key currency changes included a decline in the euro and the Hungarian forint by 19%, the Polish zloty by 18%, the Austrian dollar by 17% and the British pound by 9%, and finally the Indian rupee by 6%. To normalize the impacts of these foreign currency fluctuations, we have presented our results adjusted for currency on the next slide. Let’s move to slide eight please. Our EFT team had another strong quarter, delivering 22% constant currency revenue growth, 23% operating income growth and 22% adjusted EBITDA growth. These increases were the result of a 14% expansion of our ATM network and more dynamic currency conversion transactions on both our ATM and POS terminals. Revenue growth outpaced transaction growth, largely due to a decline in cash net transactions in India where we earn a lower revenue per transaction than transactions in euro. With strong double-digit growth rates across all P&L markets, this was a great quarter for the EFT segment. epay delivered a very solid second quarter, achieving constant currency growth of 8%, 34% and 21% in revenue, operating income and adjusted EBITDA respectively. This growth was driven by an increase in non-mobile sales partially offset by certain mobile declines. Operating income and adjusted EBITDA margins expanded as a result of a customer promotional campaign at cadooz last year that did not happen this year and increased non-mobile transaction in Germany. Overall, nice to see double-digit operating income contributions from epay for the third consecutive quarter. Money transfer had another exceptional quarter with 44% revenue growth, 90% operating income growth and 66% adjusted EBITDA growth. These remarkable growth rates were driven by a combination of strong double-digit organic growth, a record quarter from Walmart-2-Walmart and a full quarter of contribution from HiFX. These results also include one month of contributions from IME which were largely offset by deal costs. And finally, for all three segments gross margins on a constant currency basis generally remained stable to improving, both year-over-year and sequentially, reflecting consistent product pricing and margin management. On slide nine, you can see a few highlights from our balance sheet for the end of the quarter. Our cash balance increased primarily as a result of cash flows from operations and favorable timing of settlements within our epay and money transfer segments, partially offset by cash paid for the acquisition of IME, capital expenditures and income taxes. The slight increase in our debt balance was largely due to temporary borrowings for increased cash requirements in our ATMs during the summer month. Looking forward, debt will expand a bit in third quarter as we continue to add more ATM in-- more cash in our ATMs to accommodate seasonally higher transactions in the quarter. As I conclude, I think it’s worth repeating that this was simply an outstanding quarter for Euronet with both double-digit constant dollar operating income and adjusted EBITDA contributions from all three segments. With that, I will turn it over to Mike.
Mike Brown: Thank you, Rick and welcome, everybody. I’ll begin my comments on slide number 10. As I kind of look at this second quarter, I’ve got a few bullets here I’d like to share with you. The first thing that you cannot miss is that our constant currency and operating income and cash EPS growth were 67% and 60% respectively. These are simply outstanding results. I know we use that word outstanding a lot but that’s despite currency headwind. We exceeded our guidance by $0.08 which was more that 10%; we had strong performance from all three segments. And this continues to demonstrate our commitment to delivering more products on more devices in more locations and more markets. Also this quarter we are going to talk a little bit about our eye to the future with two acquisitions that support the growth strategy of the money transfer business. The first was our Malaysian based money transfer provider IME which we purchased which gives us immediate access to the large and fast growing Asia Pacific money transfer market, where we’ve previously had little to no presence. We also acquired XE, the world’s most trusted online foreign currency website. This expands our internet presence by orders of magnitude and the potential user base. It also expands our digital money transfers strategy of attracting new customers to our digital sites. Both acquisitions will drive future growth. So, let’s move on to slide 12, and we’ll talk about each of these segments starting with our legacy segment which is EFT. On a constant currency revenue and profit basis, the EFT segment grew 22% -- 23% year-over-year. This growth is fundamentally fueled by more ATMs and more value added transactions. Now jump to slide number 13 and we will talk a little bit more about some of our developments. As you can see, we had a lot activity in the second quarter, so I will only hit on a few of the highlights. First, we continue to expand our ATM presence, launching new independent ATM networks in three countries Cyprus, Portugal and the Netherlands. We also deployed our own ATMs in Malaysia, a significant milestone for us because it represents our first independent ATM network in Asia. Second, we expanded our software products into new markets, Honduras and Brunei. We’ll provide ITM software, card issuing and ATM acquiring products in these two new countries. We continue to grow in Romania, completing an ATM purchase and network participation agreement with Idea Bank as well a network participation agreement with Credite Agricole. We signed an ATM driving agreement with Standard Chartered Bank in Thailand. This represents an expansion of our ATM driving partnership with that bank, with Standard Chartered; it’s now our 12th different country that we provide services for them. Finally, we renewed several agreements including our ATM services agreement with Financial Forces where we provide ATM services to members of the UK military stationed in Germany as well the network participation agreement with Getin Bank in Poland. Next slide please. We continue to expand our value-added services portfolio. In the quarter, we added foreign currency dispensing on our ATMs in France and Spain, and we signed agreements to expand our cardless cash payout to HDFC Bank in India. These agreements highlight our innovative products and our ability to quickly and successfully implement these products into new markets. We also successfully expanded our POS DCC products to several new merchants, including with Dufry, a global duty free shop, in Greece, we added the service at Legardere Services Travel in the Auckland airport, as well as with Schmidt Marketing and Qatar Airlines, our first two merchants in Malaysia. We ended the quarter with 21,980 ATMs, a 14% increase over prior year. We added 1,117 ATMs in the quarter but about 450 of those ATMs are seasonal ATM which we redeployed in the second quarter basically turned back on, and the remainder are new ATMs. The largest increases were across Europe. Our EFT team continues to work diligently to add new ATMs in new markets and to add new products to our portfolio. Their efforts are paying off with another quarter of strong double-digit growth. Now we’ll move on to the epay segment, so jump to slide number 16 please. epay produced constant currency revenue growth of 8% which was nicely leveraged into a 34% growth in constant currency operating income. As Rick mentioned, this is our third consecutive quarter of year-over-year growth. Now, let’s move on to slide number 17 for some of the highlights. The percentage of gross profit in epay made up by non-mobile is now in the mid-40% range and continues to grow. We further expanded our presence in Germany adding gift card mall to 1,300 Vodafone retail locations. We also added Microsoft Xbox to Rewe, a very large supermarket chain in Germany. We expanded distribution of Netflix to Switzerland, adding the product to 1,800 post locations. In the U.S., we signed gift card distribution agreements with Staples, Sears and Kmart. Gift cards for these three brands will now be available in the epay gift card malls and our convenience and petrol retail locations. And we continue to expand distribution of digital gift codes in the banking channel. During the quarter we added online digital gift codes to the Deutsche Bank and Postbank digital banking platforms in Germany and we added Amazon gift vouchers to ICICI’s online banking platform in India. Next slide please. On slide number 18, we’ll present some of our mobile highlights for the quarter. In Romania, we launched the Lukoil locations we told you about last quarter, we also added mobile top-up to Coal and Sisa grocery store chains in Italy and we launched mobile top-up distribution to SNAI, a new distributor in Italy. In U.S., we signed an agreement with TracFone to expand our WebPOS activations and commissioning services. These products allow TracFone to monitor and control pricing and promotions across their entire distribution channel. We also signed an agreement with Progressive to provide handset leasing to the independent channel. Progressive is a market leader in this category and this partnership will complement our other handset leasing channels. In summary, this was another strong quarter for epay as its efforts to deliver growth of non-mobile products really show up on the page. Now, let’s move on to money transfer, slide number 20. Well, what more can I say? We had a 44% constant currency revenue growth that was leveraged to nearly double operating income. Tongue-in-cheek, I was talking to Rick and I was wondering if I should jut end my comments here because what more can you say after almost doubling your operating income. But, I knew there would be a few questions, so we’ll move on to slide number 21 and I’ll start to talk a little bit. The money transfer segment continued its exceptional run achieving a 90%, as I mentioned, constant currency operating income growth for the quarter. The growth was really a combination of both our organic growth as well as contributions from acquisitions. We achieved strong double-digit organic growth in virtually all metrics including money transfer, transactions which represent our 17th consecutive quarter with double-digit money transfer growth; Walmart-2-Walmart transactions set record in the quarter; and HiFX continues to perform in line with our expectations. We will talk about IME more in a couple of slides, but with one-month of results and integration work underway, we are pleased with the performance of our team in Malaysia. Move on please to slide number 22. Slide number 22 highlights our network expansion in the quarter. Our total network grew 16% year-over-year, now reaching 272,000 locations in a 147 countries. We continued our focus on expansion in India. India is the world’s largest received market, receiving approximately 70 billion in remittances during 2014 according to the World Bank. As we have mentioned before, strong payout in India is important for both aspects of Ria’s business that traditional cash to cash type transaction, as well as our growing digital business. As both methods, the money transfer are popular among Indian immigrants around the world. During the quarter, we launched two new correspondents which combined represent approximately 9,600 locations. Both correspondents have very strong presence in the Indian market and will provide our customers with a good customer experience and competitively priced transaction. We also shut down a few thousand India locations we’ve previously provided service to from a relationship with an intermediary. Now with direct access to Punjab National Bank and Manappuram, some of the locations were redundant and others were in close proximity to the locations offered by our new partners. So, we made the decision to close locations to better manage the customer experience and offer more competitive pricing. These close locations will account for the discrepancy you see when you compare the sequential increase in locations to the number presented on the slide. We also added more than 2,500 high quality locations with PJSC Commercial Bank, it’s kind of called PrivatBank there in the Ukraine. PrivatBank is the largest commercial bank in Ukraine and this relationship should open doors to enable us to better pursue remittances to Ukraine from our European market. In addition to these launches, we signed nine new correspondent agreement which span 19 countries. We expect these locations to continue to go live in the second half of the year. Finally, I am excited to tell you that HiFX is up and running in the United States. We will continue to add functionality and make site improvements in the coming months, but this was a huge milestone in the integration of HiFX into our money transfer segment. Next slide please. Slide number three has a picture of a couple of recent recognition awards that we are very proud of. As I mentioned, the Walmart-2-Walmart product continues to perform exceptionally, showing strong transaction growth as we anniversaried the product launch at the end of April; the value proposition; the extra money customers are able to save or spend on food or necessities at Walmart stores and the quality of service continued to strengthen our partnership with Walmart and our joint commitment to offer customers an affordable and convenient money transfer service. This was highlighted during the Walmart Services Annual Supplier Conference, where Ria received the Walmart Services Supplier of the Year award. As you may remember, Ria won the supplier of the year award last year. And this repeat win marks the first time a supplier has won the award twice since Walmart began recognizing superior suppliers with these awards. And in addition to the supplier of the year, Ria also won the Service Excellence Award. We are proud of the combined Ria and Walmart team that has worked so hard to ensure the success of this product. Now, we’ll move on to slide number 24 and give you more insight into the two new acquisitions we made during this quarter. Slide number 24. As we shared with you in June, Ria acquired the Malaysia-based money transfer provider International Money Express or IME as it’s known in the marketplace. IME commenced business in 2002 as the recipient of the first money remittance license issued by the Malaysian regulator Bank Negara to an entity other than a bank or post office in the country. The special approval enabled IME to develop a service focused on Nepali migrant workers and essentially marked the opening of the Malaysian market to independent non-bank provider. Let’s fast forward to today. And IME is a leading provider and brand in the Malaysian market with a market-share for outbound remittance among license money transfer business remitters of approximately 26%. The brand also remains strong in Nepal, where the former owners of IME cultivated one of the largest payout networks in the country, which they continue to operate today. IME has over 500 employees in Malaysia, the Middle East and other countries. And after spending much time with them over the last two years as we prepared for this deal, we are excited and privileged to have them join Ria where they will fit in especially well our entrepreneurial customer first culture. I won’t spend time explaining the business deal to you; it’s really no different from Ria’s. What is important to understand though is that this acquisition gives Ria an operation’s base in Asia, a strong customer base and an immediate access to markets where Ria previously had limited or no presence. Organic entry into these markets would have required a significant investment of time and expense whereas IME gives Ria a platform to expand across Asia and the Middle East send markets while also servicing and growing IME’s existing payouts. IME is one of eight non-bank providers holding a Class A license in Malaysia, which enables the company to offer both money transfer and currency exchange services and most importantly, sell these services through an agent channel. Prior to the opening of the agent channel in late 2012, money transfer providers could only sell their services through retail outlets. We believe the combination of IME’s local market expertise and Ria’s knowhow and execution record in the agent channel can drive further growth in the Malaysian market. IME currently offers its services through 68 stores and over 50 agents in Malaysia and through agents in ten other send markets, bringing a total to 11 new send markets to Ria’s network. Of these 11 markets eight are in the top 25 send markets in the world, which account for approximately a $135 billion in remittances according to the World Bank. IME provides customers in these countries with reliable fast, high quality service to the world top payout markets such as India, the Philippines, Bangladesh and Nepal. In order to give you an idea of the five of these send markets, I will make a comparison to the U.S. with which most of you are familiar. In 2014, the U.S. population totaled about 320 million people, and the country traverse 9.1 million square kilometers. Sends from the U.S. totaled the 131 billion in 2014 according to the World Bank. In comparison, the 11 new send markets that we acquired with the IME transaction have about one-third of the population in land area of the U.S. or a population of about of 100 million people in land area of 3 million square kilometers. However the sends from these markets total a135 billion, about the same size as the U.S. So, as you can see, this an incredible opportunity to immediately establish a presence and use our money transfer expertise to grow within this very exciting and growing market. Next slide please. On slide number 25, we have some additional information on IME send and receive markets. I’ll not go through all the stats but provided them for additional information to illustrate the significance of the Asia Pac market. To wrap up my comments on IME, we view this company, its employees and its network footprint to be a near perfect complement to Ria and we see this as a tremendous opportunity. As we mentioned in our announcement of the deal, we believe this transaction will be accretive to Euronet over its first 12 months by $0.08 to $0.10 a share. Now, let’s move on to the next page and we will talk about our second recent acquisition in the money transfer segment, XE. Slide number 26. While IME provides immediate earnings accretion, our second acquisition, XE positions us for continued long-term growth. XE has a tremendous digital footprint with 3.1 billion total page views in the last 12 months from 200 million unique visitors and the XE mobile app has achieved more than 39 million downloads since its 2009 launch. XE has ranked as a top 500 website with a ranking similar to that of the Wall Street Journal and Reuters. XE is also ranked as top five business website according to the digital measurement company Similarweb.com, ranking with the likes of businessinsider.com, Bloomberg.com and wallstreetjournal.com. As if this extensive user-base of more than 200 million unique visitors isn’t enough, based on an XE survey, 49% has said that they have a foreign currency payment need, we’re just right there to help them. Well XE offers customers international payments through a third-party today; to truly unlock the value of what they have created, XE needed to become a payments company. By combining forces with HiFX and Ria Digital, XE’s leadership is excited to bring the payment services in-house to be more responsive to the 49% of customers who have a payment need. At the same time, we have continued to invest in the digital money transfer space through both HiFX and Ria Digital. This acquisition brings a larger user base than we could have developed with years and years of efforts and advertising investment. As we have said before, we have been successful by adding more products to more devises in more locations and it only further excites me to know that we now have the premier digital foreign currency consumer base as well as a strong leadership team who are experts in digital customer attraction to drive the future growth of HiFX and Ria Digital. With another quarter of exceptional earnings growth from our money transfer business and two important strategic acquisitions now included in the Euronet family of companies, this was a very exciting quarter for the money transfer segment, maybe its most exciting quarter ever. Now let’s move onto slide number 27. With cash EPS of 78%, a 60% constant currency increase, I’m not sure I need to say much more. This really was a fantastic quarter but here is a wrap up of the key highlights from the quarter. Our cash EPS was $0.08 above our guidance and the 10th consecutive quarter we have achieved double-digit cash EPS growth. EFT posted another strong quarter, driven by continued ATM, POS, product and geographic expansion. epay achieved its third consecutive quarter of double-digit operating income growth, driven by continued sales of non-mobile content. Money transfer had an exceptional quarter with double-digit organic growth, record transactions form Walmart-2-Walmart and a full quarter contribution from HiFX. And as usual, our balance sheet remains strong and we have very good cash flow generation. I know that with such strong earnings growth for the past several quarters, several of you will ask me if we can keep this up. Well my answer is yes. We continue to expand our products and our markets in all three segments. And this quarter we made two really important investments in our future, entering into Malaysia and the fast growing money transfer region of that part of the world and XE, a digital foreign currency provider with more than 200 million visitors per year, all of which enhance our near-term and long-term growth. And speaking to the more immediate horizon, we see all of this momentum continuing. And it should yield outstanding results in the third quarter where we expect our cash earnings per share to be $0.94. And finally, I’d like to thank my colleagues here at Euronet and epay and the EFT division and in the money transfer division. They make my life very easy with this call this time and also to our finance department that rolls up all these numbers and makes sure they are accurate for you. So with that thanks, I will then move on to questions. Operator?
Operator: [Operator Instructions] And I’m showing our first question or comment comes from the line of Peter Heckmann with Avondale. Sir, your line is now open.
Peter Heckmann: With XE.com, interesting acquisition and really seems to be a pretty valuable media property. You talked in the press release about converting some of the existing payment volumes off of the incumbent provider which I think Currency Cloud on to HiFX. Will you need to develop incremental technology or get additional licenses to convert all that volume? And if so, what would be the time line for converting that volume on to your platform?
Mike Brown: First of all Pete, it wasn’t in Currency Cloud but second, the nice thing is we have license. And so what we have to do basically is give the current provider 12 months notice which we’re about to do and then we’ll be able to take over that volume with our current license12 months thereafter. And no technology -- the two founders who run that company are excellent technologists, they’re strategic, they’ve built up a hell of a company, they’ve got a really strong group of people. We’re really happy to have them on board with us as we kind of convert their website and their contributions into more of a payment generation hub than just an information hub.
Peter Heckmann: And then I don’t think you referenced it in the press release and maybe not, maybe you can provide some additional color of how converting and limiting that incumbent processor might -- at the accretion in kind of the second year of the deal?
Mike Brown: We haven’t and we will let you know little later.
Operator: And our next question or comment comes from the line of Rayna Kumar with Evercore. Your line is now open.
Rayna Kumar: You spoke about some strong money transfer wins in the quarter but going forward, how fast can you grow money transfer top line, given tougher year-over-year comps? And where do you see the largest opportunities to win business over the next two years?
Mike Brown: Our comps have been accelerating over the last two, three years. And this year it’s kind of hard to double your op income down here every single quarter, quarter-on-quarter. But the point is we’ve got a lot of momentum under it; we’ve made investments in our future. Just our core business, this is as ex any kind of acquisition, ex Walmart-2Walmart continues to grow very well. Our basic legacy Ria business grows very well and then you add all these things on top of it and you get growth acceleration. So I grant you that it will be hard to kind of double our op income every quarter, as I move forward forever and ever I mean. But we’ve got a lot of important things in the pipe to continue to do that. And you can just look at it. I mean this is the question that you -- not you but people have been asking for the last several quarters, how do we keep wining more and more business. It’s because we have a better value proposition than our competitors. We have some excellent professionals that run and work at Ria and the combination is what you see is kind of what you get.
Rayna Kumar: Just one follow-up, do you expect to win a cross-border money transfer contract with Walmart.
Mike Brown: Walmart has not granted those to anybody. If they decide to do something like that, I hope that we’re in a good position to do so. So, we’ll just have to see what happens.
Operator: Our next question or comment comes from the line of Chris Shutler with William Blair. Your line is now open.
Chris Shutler: Maybe let’s just start with money transfer Mike. I know you said that the trends have been pretty consistently strong in just the core business. Maybe can you quantify that, so ex Walmart, any acquisitions, are you still kind of in that low double-digit range for growth?
Mike Brown: Yes, I think that’s about right. We’ve been hitting in that kind of 12% to 14% range for quite a while now.
Chris Shutler: And then on the Walmart-2-Walmart business, how is that kind of trending on a same-store basis and is your expectation that growth rate or when is your expectation that growth rate is going to begin to plateau?
Mike Brown: Well, there is your question of the day. First of all, same-store -- it’s the same number of stores today as they were on May 1st of last year because number of Walmarts in the U.S. really haven’t grown in quantity. So, all the growth that you’ve seen in that business has all been same-store sales growth. We have lapped our starting point. We continue to see stronger and stronger months almost every single month. I think that what you’ve got here is a little bit of the eke on one on one price elasticity curve, we offer a better value proposition for the Walmart customers than they can get anywhere else in the country that has driven larger quantities than maybe even were there before but we don’t know the exact numbers before. So, it continues to grow and people ask us how big it can get, I don’t know, it just keeps growing. And it’s exciting to know that more and more people are finding out about this service. So, a significant amount of our customers are first time users and so that tells me more and more new people are coming into the business.
Chris Shutler: And then, how confident are you that -- I don’t in the next let’s say 12 months that you could maybe win another big box or two in that space or is it still just too early to tell?
Mike Brown: I think it’s too early to tell but I think that finally we’re making impacts on the big boxes. I mean these big boxes have done things the same old way for 10 years. The same buyers, it’s the same way without much stock. And now that we’re starting to shake things up, I think people are starting to give us a fair shot at discussions. Whether that turns into an agreement in the next 12 months, I can’t tell you for sure, but I sure love if it could.
Chris Shutler: And then maybe one more if I could sneak it in, in the EFT segment, I guess that you take roughly 1100 ATMs less 450. Of that remainder, what was the rough split Europe versus India?
Mike Brown: Most of it Europe, there is like some like 667 or something like that was the net of the two, growth. So, we did 499 in the first quarter, 667 in the second quarter. So, we’re certainly on our way to our goal of 2,000 for this year.
Chris Shutler: I’m guessing most of those machines have good possibilities for DCC rollout?
Mike Brown: Actually all of our do it just right out of the gate. And so, yes.
Operator: Our next question or comment comes from the line of Mike Grondahl with Piper Jaffray. Your line is now open.
Michael Grondahl: Thanks guys and congratulations on the quarter. Maybe a special thanks to Juan.
Mike Brown: Yes. I know Juan has done a really good job and his team. He has got just butt kicking team.
Michael Grondahl: Yes, he sure does. Mike, if you had to pick just one or two areas that outperformed your expectations, what were they in the quarter?
Mike Brown: That is probably the toughest question I have had today because the reality is they all have. I mean it’s just across the board and every segment, it’s just -- the only thing that I wouldn’t to say compared to may be six months ago, our transactions in Greece were below our expectations, but not where they were may be three or four months ago because we knew all consternation that was going on that country. But with that exception, I mean everybody -- every country, it was just an amazing quarter of everybody doing a very good job.
Michael Grondahl: Is there any way you can qualify your Ria Online investment and do you feel that’s paying off?
Mike Brown: Yes, this is no different than maybe I think may be somebody asked this may be last quarter. So we are spending about $6 million to $7 million of investment in Ria. Our quantities are growing very quickly. And I can’t wait to leverage this new asset of XE to help that accelerate much, much faster.
Michael Grondahl: And then last quarter, you talked about you EFT software going on 17,000 ATMs in France at BCPE, 35,000 ATMs at Elan Financial Services and then a big chunk in India. Have those been rolled out yet?
Mike Brown: No, they have not yet. They are in the process. And these are what we call pass-through transactions where the bank will actually operate as own ATM and for some of these value added products and this might be selling top-up at the ATM, selling an iTunes at the ATMs, doing a DCC transaction at ATM et cetera, et cetera with this pass-through transaction. And one of those are requirements or one of those queries hit his ATM, he passes that transaction to U.S. and we handle all of the detail of that forum and just pass it back at the end. So, it’s not really software that runs on his ATMs but it’s kind of like an exit. It’s a web call when those customers require those kinds of service.
Michael Grondahl: Will those be live soon or by year-end, or what’s sort of the thought?
Mike Brown: We are hoping by the last -- by year-end, we should get most, all of them live.
Michael Grondahl: Okay.
Mike Brown: What here are banks and banks IT departments tend to be challenged with a lot banks right now, so just getting them to get it all done, take some time.
Michael Grondahl: It’s still to come, okay. And then just two more quick, the gift card in the U.S. at Staples, Sears and Kmart, are those exclusive deals for you? And that’s new to me that you are doing gift cards in the U.S.; primarily you have been overseas before. Can you just kind of talk about those wins?
Mike Brown: Kevin, would you answer that?
Kevin Caponecchi: Yes, sure. So, we have gift card malls. Some of the other competitors focus on large retail. We focused on convenient and petrol stations max. We’ve had a gift card mall. If you go to a pilot truck stop for example, there will be a spinner rack with our content. And we’ve been in pilot at five plus years. And so now, we are starting to gain significant brands like the ones mentioned. And so we will take their gift cards and put it into our gift card mall in the select channels that we focused on in the U.S. which are related to convenience and petrol chains.
Michael Grondahl: And then just lastly, Mike. The $0.94, did you qualify how much -- what you are including in that from the recent acquisitions?
Mike Brown: Well, I mean we said that IME -- we said that first of all, IME, we have said that that would be about $0.08 or so in a year, right, so in its first year. So, in the first full quarter of it will get around $0.02. With respect to XE, we said that that’s basically going to be neutral in its first year, so it’s really almost $0.02 of the $0.94.
Michael Grondahl: Got you. Not much. Okay, hey thanks a lot.
Mike Brown: And then also Rick, just to help him, what would be an estimate of the currency headwinds baked into that?
Rick Weller: Let’s see…
Mike Brown: I think I caught him off. Sorry.
Rick Weller: But I’ll give you. It’s probably in the ballpark of $0.10 to $0.12 a share.
Michael Grondahl: 10 to 12, okay.
Mike Brown: That’s assuming currencies stayed just where they are right now compared to prior year.
Rick Weller: The Euro in last year in the third quarter was 1.29; we are still at about the 1.10 level, so call that 18ish kind of 17%, 18% difference. I’d have to look up and down the page on the other currencies. But knowing that many of the other currencies kind of fall in line with the euro there that would probably turn out to be reasonably close estimate.
Operator: Our next question or comment comes from the line of Alex Veytsman with Monness Crespi. Your line is now open.
Alex Veytsman: My first question is on the money transfer transaction growth, transactions grew from 13.9 million in first quarter I believe to 15.5 million in the second quarter. Can you give us more granularity as to which markets were the strongest? And specifically what was the transaction growth for Walmart-2-Walmart?
Rick Weller: You’re just talking about our sequential growth from first quarter -- from first to two. That’s just seasonal; it wasn’t any kind of unusual difference across our markets. A lot of that’s driven by Mother’s Day. Mother’s Day is the highest transaction volume day of the year. So that’s pretty consistent with what you’d see in prior year kind of trends.
Mike Brown: Also don’t forget, first quarter for money transfer for the typical remittance market, when you’re in the northern latitude, you have less construction jobs for immigrants, certainly less agricultural jobs. So, there is just less transactions always in the first quarter than it will be in the second quarter.
Alex Veytsman: And what about Walmart-2-Walmart, can you give us some idea as to what was the transaction growth of that particular transaction…
Mike Brown: No, we don’t give any information on that but they were up nicely.
Alex Veytsman: All right.
Mike Brown: As we mentioned in the last call, April turned out to be our largest month to-date and we continue to surpass April month-on-month since then.
Alex Veytsman: It’s better than December, right?
Mike Brown: Yes, April was better than December and May was better than April and da da da.
Alex Veytsman: And then just some housekeeping for IME, so you mentioned $0.02 coming for third quarter and then $0.06 for the fourth quarter.
Mike Brown: No, we said $0.08 in its first 12 months of operation.
Alex Veytsman: Okay, got it.
Mike Brown: So that’s how we got to $0.02 in the quarter and that’s just kind of rough guess but probably won’t be too far on.
Alex Veytsman: Okay. So, it’s $0.02, you should not -- kind of $0.08 in the second half.
Mike Brown: Right. Because we give that same kind of guidance every time we mention any kind of acquisition because you never know what point in the year you do them and so we try to give kind of the next 12 months outlook.
Alex Veytsman: And then as far as the top-line impact how much of the revenue impact are you expecting in each of the quarters for second half of ‘15?
Rick Weller: We haven’t put out numbers on that there but IME is not a big revenue kind of number, even if you just take that $0.02 per share and kind of explode it back upwards. And then you come with that. And in our release we put what the annual revenue number was of IME. So, I think for your estimate, essentially a fourth of that number would be a reasonable guess.
Operator: The next question or comment comes from the line of Tim Willi with Wells Fargo. Your line is now open.
Tim Willi: Two questions, one on money transfer, one on epay. First on money transfer, Mike with IME, obviously there is a lot of excitement about sort of bolstering your presence and entering into a lot of markets where you weren’t or had small presence. Could you maybe just even -- I know you don’t give longer term guidance but if you just think about your own internal expectation for what this business would look like or whatever would be 24 months, 36 months in terms of your plans to grow and build off the network they have and their market expertise. You’ve obviously shown you can do that by how you’ve built Ria since you acquired it. So I’m just curious how you think about this property specifically, its geography, and the population it can address and help you accelerate into more so than if you didn’t have it?
Mike Brown: So, if I was to quote Juan Bianchi who runs Ria, if you would remember back when we purchased Ria in 2007, we were doing about 14% or 15% of our revenue and our profit in Europe at the time and remaining 85% in the United States. And over that this last eight years, that 14% has grown about 50% of our business and continue. Our entire -- this is our legacy business and it continues to grow at these nice double-digit numbers. So by buying IME instead of -- and then I might also mention that even we bought Ria in 2007, they started European operations about three years before that or so, two or three years before that. So, it took about a decade to go from zero to half our business. With IME, we might be able to achieve similar kinds of things in quite a shortened timeframe, maybe it only takes half that. So, it would be great if our Asian business accounted for a third of our business. And it isn’t going to take 10 years to get there with the head start that we have with IME. So that’s kind of a qualitative thing. We don’t have exact numbers on it. But with where IME is right now, we’ve certainly got an accelerated head start on the Asia Pac business.
Tim Willi: And then my follow-up just on epay, two things, one was housekeeping. You’ve typically quoted sort of the gross profit contribution of non-telephony. I don’t recall hearing that today, if you have that handy, Rick?
Mike Brown: Yes, this was about mid 40s percent.
Tim Willi: And then, I’m just sort of curious; it doesn’t get asked, myself included. But just competitively, what does the market -- what does it look like and evolves to around non-telephony? Obviously people like Blackhawk or over in Europe and parts of Europe I think Incomm’s got some stuff over there. I mean as you look at the landscape realistically; how many players do you feel like there is a widening chasm between those that really get it and those that won’t make it in the non-telephony marketplace, just how you feel about where you are competitively there?
Mike Brown: There is really only three players of significance in non-telephony, but you mentioned Blackhawk, they’re public and there is another company Incomm and those two companies are -- traditionally have been around the same size, maybe there is some divergence. Where we’re strong is in the markets that we started with telephony, mobile telephony and that’s continental European markets and a bit of England as well. And so the is I think it’s hard to unseat them from their long-term relationships with retailers, probably similar for them to unseat us. But we’re very excited about where Europe is going.
Rick Weller: And the brands Mike, there is two sides to it; there relationship with the brand, the connectivity that you have with the brand partners i.e. iTunes Google Play et cetera and then there is a relationship of the connection you have with the retailer. And so that’s hard for competitors to unseat.
Tim Willi: Yes, so it’s really a three-horse race more or less, not anybody…
Mike Brown: It really has been so for the last five years.
Tim Willi: And do you view it is rational competition, have you seen the other players…
Mike Brown: I think is rational, yes; it’s competitive but it’s rational.
Tim Willi: Yes. So that’s kind of competition. Good. That’s all I have. Thanks very much guys.
Operator: And our next question or comment comes from the line of Matt O’Neill with Autonomous Research. Your line is now open.
Matt O’Neill: I had a couple of quick follow-ups. Looking at the Asian location and a network location for money transfer and if you back out I think you’d mentioned in the release at the time with IME about 17,000 that would put you back at around 255 or maybe plus 9,000 locations. So, I was just curious what regions are those kind of more organic location growth coming from?
Mike Brown: Yes. A lot in India and Asia. And we’re real happy to get India on the map here. We were mostly going to intermediaries. The problem with intermediaries is on a profit side of course there is an extra amount of seat but more importantly, it all comes down to good quality service. So when you have a direct relationship with say a bank and somebody loses their transfer or something isn’t working, instead of having to call up an intermediary to find out where did that money go, we can look at our own system and find out where that money went. So we can answer things immediately. So that’s why we closed down some of the locations that we had with the intermediary and then added the ones with our direct connects.
Matt O’Neill: And then I have another question and clarification. I believe right now Ria Online is U.S. outbound only. And I was just curious as you continue to implement HiFX, if there is sort of a natural progression to having more send regions, adding UK et cetera for online?
Mike Brown: Yes, there certainly is and we’ll announce those as we bring them online.
Matt O’Neill: And then one final question. You guys quantified full year in the slide deck for IME. I was wondering if you could maybe make a similar comment around XE. And I know it’s not necessarily accretive this year and may be it would be more interesting if you would discuss the current volume or transactions coming now?
Mike Brown: Well, we don’t really want to giveaway those exact numbers right now. But because we’ve got this issue with this third-party supplier that we’d like to become and that requires the 12-month notice, really you’re not going to see much change over the next 12 months from now. But then we can see us picking up a lot of volume from where this competitor was in today. So that’s why for the next 12 calendar months, you’re not going to see that’s where we say kind of no accretion, no dilution. And then I would say by -- say this time next year, we’ll have a better idea of kind of what’s happened. And as we supplant the current provider with ourselves, we can give you a little bit better estimate.
Matt O’Neill:
Operator: And our final question of the day comes from Peter Heckmann with Avondale. Your line is now open.
Peter Heckmann: Great. I thought I’d sneak in with a couple quick follow-ups. On the online side and echo Tim’s question for online money transfer with the acquisition of Xoom or pending acquisition Xoom or pending acquisition of Xoom by PayPal and some of the other funded startups. Are you continuing to see the digital side of the business be rational from a pricing perspective? And are there other motivations for some of these players just in terms of gaining share that you may be seeing some of your rationality in the pricing scheme?
Mike Brown: So far, it has been rational. And in fact to tell you truth, in my opinion, it’s been a little bit overpriced. I think there is probably a little bit of price competition that we might be able to inject. So, we’ll just kind of see what happens with that. But so far, we feel really comfortable with that market and its profit potential for ourselves.
Peter Heckmann: Okay. And then just as a follow-up, the PayPal, Xoom pending partnership, they’ve been talking more about international mobile recharge. And I know Euronet does that; we haven’t heard as much about it. Is there something there that other competitors are targeting in terms of functionality or marketing and do you see…
Mike Brown: I didn’t know that they were same at exactly. We are really experts at that; we’ve been doing that for a lot of years now. The tricky part about that is every destination country has three to six or seven even kind of different mobile operators between MVNOs and regular mobile operators. And so to get all this content and then to settle that all in multiple currencies is a challenge. So, I can’t imagine it’s going to change their numbers much, but I’ll give it an interesting watch.
Peter Heckmann: Great quarter, again. Thanks for all the input.
Mike Brown: Thank you. And thank you everybody for taking time with us and we’ll look forward to talking to you next quarter.
Operator: Ladies and gentlemen, thank you for participating in today’s conference. This concludes the program. You may now disconnect.